Operator: Good morning, and welcome to Washington Trust Bancorp, Inc.’s Conference Call. My name is Melisa. I will be your operator today [Operator Instructions] Today’s call is being recorded. And, I will now turn the call over to Elizabeth B. Eckel, Senior Vice President, Marketing and Investor Relations. Ms. Eckel?
Elizabeth Eckel: Thank you, Melisa. Washington Trust Bancorp Inc.’s third quarter 2016 conference call will be hosted by Joseph MarcAurele, Washington Trust’s Chairman and Chief Executive Officer; Ned Handy, our President and Chief Operating Officer; and David Devault, Vice Chair, Secretary and Chief Financial Officer. Before we begin the call, it's important to note that today's presentation may contain forward-looking statements, and actual results could differ materially. Our complete Safe Harbor statement appears in our earnings press release and in other documents that Washington Trust files with the SEC. We encourage you to visit our Investor Relations Web site at washtrustbancorp.com to review these materials and the Safe Harbor Statement. Washington Trust trades on NASDAQ’s under the symbol WASH. And now I am pleased to introduce Washington Trust’s Chairman and CEO, Joseph MarcAurele.
Joseph MarcAurele: Good morning everyone and thank you all for joining us on today's conference call. Yesterday, we released our third quarter 2016 earnings. This morning I'll review some of the highlights from the quarter. And David will discuss the financial performance. At the conclusion of the call Ned, David and I, will answer any questions you may have about our results for the remainder the year. I am pleased to report that Washington Trust posted record quarterly earnings as net income amounted to $12.3 million or $0.72 per diluted share. These results included an adjustment for contingent consideration liability on our balance sheet. They contributed approximately $939,000, or $0.05 per diluted share to our earnings. David will provide more information on this matter in his comments. The third quarter also marked the first time in our 216-year history that we exceeded $4 billion in total assets. At quarter's end, profitability measures were strong and capital ratios continue to be very satisfactory. Solid results once again demonstrate our ability to achieve consistent growth and profitability, despite environmental, economic, and competitive pressures. Performance also reflects the strength and diversity of our business model as our ability to generate a consistent stream of revenues from both interest and non-interest income sources has been a key to our success over-time. Let me take a moment to discuss our core business lines. A notable highlight for the quarter was the significant increase in total deposits, which amounted to $3 billion at September 30th. This is a nice rebound from second quarter levels, which were affected by seasonal fluctuations of some of our larger institutional and governmental depositors. We hope this positive trend will continue, but realize we may continue to see quarter end variations from time to time, and based on the timing of transactions by these larger depositors. Turning to the lending business, total loans stood at $3.2 billion at September 30th, with total growth of over 3% for the quarter. The commercial portfolio, including commercial real estate and C&I, rose by 1.4% in the quarter, as overall growth was matched to some extent by continued pay-offs in the commercial real-estate portfolio. The year-to-date increase in the commercial portfolio stands at 6.2% and we’re optimistic that we will finish the year with a respectable level of commercial loan growth. The residential portfolio increased by 7% in the quarter, including some whole loan purchases as well as organic growth. The wealth management division, as all of you know, is a key part of our business model, providing a major source of non-interest income. The division had an outstanding third quarter as wealth manager revenues reached an all-time quarterly high, and end of quarter assets under administration surpassed $6 billion for the first time. We believe our wealth management group has additional growth potential, and in recent years we’ve made investments in talent and technology to further position ourselves as one of the region’s premier providers of wealth management in trust and state services. On the mortgage banking side, we generated strong mortgage banking revenues, as a result of record volume of loans sold in the secondary market in the third quarter. We had a healthy mix of both purchase and refinance activity from throughout the region. In recent years, we’ve opened mortgage production offices in nearby Massachusetts and Connecticut with great success. In July, we expanded our Massachusetts presence yet again by opening a mortgage production office in Wellesley and after suburb outside of Boston. The office is near our Western Financial Wealth Management Office, providing us with opportunities to build synergies between the groups. As we look into the fourth quarter, our mortgage pipeline is currently in very good condition, and we’re on pace to finish out the year with very solid production levels. I will now turn the discussion over to David for review of our financial results. David?
David Devault: Thank you, Joe. Good morning, everyone. Thanks for joining us on our call today. I will review our third quarter 2016 operating results and financial position, as described in our press release issued yesterday. Net income amounted $12.3 million or $0.72 per diluted share for the third quarter. This compared to net income of $11.1 million or $0.64 per diluted share in the second quarter of this year. The profitability results in the latest quarter were solid with a return on equity of 12.57% and return on assets of 1.21%. These net income and earnings per share amounts were record highs for the Company. Included in the result was a reduction in a contingent consideration liability that resulted in additional income of $939.000 or $0.05 per diluted share for the quarter. I will explain that items further in a few movements. But even excluding that, the profitability of the Company was up nicely over the second quarter. These results were driven by revenue growth compared to the second quarter, while core non-interest expenses were essentially unchanged, and we saw an increase in the loan loss provision as well. Total net interest income in the latest quarter was $27.4 million compared to $26.8 million in the second quarter. The increase was driven by balance sheet growth, including both loans and investments securities. Loans were up by $100 million, included in that loan growth was about $59 million in residential mortgage whole loans purchased in the third quarter. Meanwhile, we increased the investment securities portfolio by a net $161 million, primarily due to the addition of agency mortgage-back securities. The additions were also consistent with our liquidity management and collateralization needs. Total average interest earning assets rose by a $178 million in the second quarter. The yield on interest earning assets declined by about 10 basis-points to 3.55%, due to the lower yields on the asset additions. On the funding side, we saw a good increase in the average balance of in-market deposits of $66 million. And we maintained an all-in average cost of deposits of 31 basis-points. We added some wholesale broker time deposits and lengthened the federal home loan bank advance position somewhat in response to the securities portfolio additions. So while net interest income was positively impacted by the balance sheet growth, the net interest margin declined by 11 basis-points to 2.94%. Total loans stand at $3.2 billion at the end of September, up 3% in the quarter, and they were up 6% in the first three quarters of 2016. Residential loans were up $75 million in the quarter. And as I indicated, this included purchases of loans from other banks. These are whole loans individually evaluated to our underwriting standards and are nearly all secured by properties in Massachusetts. The commercial portfolio, including both C&I and CRE was up by $25 million or 1.4% in the quarter. The growth was concentrated in commercial real-estate and construction balances. And total commercial loans are up by 6.2% on a year-to-date basis. Deposits stood at $3 billion at the end of September, up 9% in the quarter. We saw very good inflows in money market and demand deposit categories in the quarter. And a lot of that is related to the business cycles of various largest institutional depositors in the quarter, and those results were directionally consistent with the trend that we've seen in recent years. Also included in the deposit growth was an increase of about $65 million in brokered wholesale time deposits, which was one of the funding sources for the investment portfolio additions that I mentioned. Excluding the wholesale broker deposits, the in-market deposits were up by 7% in the latest quarter. Non-interest income continues to represent a significant portion of our total revenues, amounting to 39% of total revenues in the latest quarter. Non-interest income was $17.3 million, up 8.5% on a linked-quarter basis. In the second quarter, we had $589,000 gain from the receipt of bank loans life insurance proceeds. And excluding the impact of that item, non-interest income was up by more than 12% over the second quarter. The wealth management business did very well in the latest quarter. Revenues were $9.6 million, up 1.5% on a linked quarter basis. We would point that the second quarter included, as is typical, about $300,000 in tax preparation fees, which is a seasonal item. So we would consider the improvement in the run rate to be better than 1.5% increase would otherwise indicate. Wealth management assets and re-administration stand at $6.1 billion at the end of September, and were up by a $152 million in the latest quarter. And both the revenues for the division and the level of wealth management assets stand at all-time record quarterly highs for the Company. The mortgage banking business also achieved very solid results in the latest quarter. Revenues, including gains and commissions on loan sales and servicing fee income, was $3.7 million in the quarter, up 38% on a linked quarter basis. The increase reflects higher sales volume, as well as a higher effective yield on the loans sold. We sold a $164 million of mortgages into the secondary market, and that was up 18% over the second quarter. And the pipeline continues to be healthy. Loan related derivative income, which is primarily interest rate swaps with commercial borrowers, was $1.2 million in the latest quarter, up $670,000 on a linked-quarter basis. Part of that increase relates to a positive fair-value change on the portfolio of swaps, following a negative change at the end of the second quarter, which was considered to be a market reaction to Brexit developments at that time. Looking at net interest expenses, for the latest quarter, they were $24.7 million, down $1.4 million on a linked quarter basis. That comparison was affected by a decrease in the estimated liability for a contingent consideration amount to be paid in connection with our 2015 acquisition of Halsey Associates, Registered Investment Advisor in Connecticut. In that transaction, the selling shareholders receive the combination of cash, Washington Trust common stock, and the ability to receive further cash payments based on the revenues of the acquired company for the three and five year periods ending in 2017 and 2019. These are commonly refer to as earn-outs. And on the purchase accounting, a liability for the estimated present value of those future payments was recorded at the time of the acquisition at the end of July in 2015. However, downturns in the equity markets in the intervening period have caused the aggregate revenue to fall below the assumed levels at the time of our initial estimate. And we have accordingly reduced the estimated earn-out liability by $939,000. This item is not subject to income taxes for the corporation and accordingly caused $0.05 per share beneficial impact on the earnings per share in the third quarter. The final payouts will be determined at the ends of 2017 and 2019, and we would expect to further adjust the payout liability as we get closer to those dates. I should be very clear that this is solely a result of the market conditions that affected Halsey and the wealth management business in general in the months subsequent till the acquisition at the end of July of last year. Halsey continues to perform very well with excellent client retention, and we are very satisfied with the acquisition of Halsey. And we continue to deepen existing Halsey relationships with our fiduciary capabilities, and we’re finding referral opportunities with the commercial and mortgage services in that market area. The $939,000 liability reduction was reported as a reduction to non-interest expenses. Excluding that item, non-interest expenses were down from the second quarter by about $440,000. And the most significant item affecting the comparison is that they were approximately $425,000 of employee severance costs recognized in the second quarter. The effective income tax rate was 32.2% in the latest quarter, and we are forecasting a rate of 32.5% in the fourth quarter. I'll now comment on asset quality. Total loans pass-due by 30 days or more as a percentage of loans outstanding was 0.67% at the end of September, up 11 basis-points in the quarter. Non-performing loans, as a percentage of total loans, was 0.75%, up 19 basis-points in the quarter. The increase in both of these metrics is substantially related to the deterioration in one commercial real-estate credit relationships in the quarter. This was a previously modified troubled-debt relationship. And in the latest quarter, the credit became delinquent, and that factor, along with other assessments of the condition of this credit, led us to charge-off $1.9 million on that relationships. That was also the cause for an increase in the long last provision, which was $1.8 million in the quarter compared to $450,000 in the second quarter. With all that, the allowance for loan losses stood at 0.81% of total loans at the end of the third quarter, a decrease of 3 basis-points from the end of the second quarter. Total shareholders’ equity for the corporation was $395 million at the end of September, up $7 million in the quarter. During the quarter, we declared a quarterly dividend of $0.37 per share, which represented a $0.01 per share increase over the prior rate, and that was paid on October 14th. The corporation and the subsidiary bank capital levels continued to exceed the required levels to be considered well capitalized. The total risk based capital ratio for the corporation is 12.31% at the end of the third quarter compared to 12.43% at the end of June. And the tangible equity to tangible assets ratio, a non-GAAP measurement, was 7.77% at the end of September compared to 8.16% at the end of June. And at this time, I will turn the call back to our Chairman and CEO, Joe MarcAurele.
Joseph MarcAurele: Thank you, David. We’re very pleased with our third quarter performance. We believe it’s a testament to our continued commitment to employees, customers and shareholders. And for our history, throughout our history, we helped generations of depositors, borrowers, and investors reach their goals. We’ve also provide a consistent returns for our shareholders. We hope certainly to continue to do this. We’d like to thank you for your time this morning. And now Ned, David, and I, are happy to answer your questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Thank you. Our first question comes from the line of Mark Fitzgibbon with Sandler O’Neill and Partners. Please proceed with your question.
Mark Fitzgibbon: The first question I had is on the balance sheet. You guys obviously had really strong growth this quarter. And you typically have pretty strong loan closings in the fourth quarter. Can you help us think about how much more balance sheet, we’re likely to see this year?
Joseph MarcAurele: The commercial growth in the quarter is -- we’re expecting it to be pretty good. The pipeline is in good condition. And now there is a number of expected closings in the quarter that we would expect to get well and very nicely. Ned, if you have other thoughts on that.
Ned Handy: I think the commercial pipeline is about $215 million, about $145 million of that is C&I of some of the other increase increase of the $70 million about $43 million is in construction. The resi pipeline stays over $200 million. We expect that to continue to be strong for the fourth quarter. Big variable on the commercial side is payouts, and we had continued payouts in the third quarter, which we have to cover. And we grew a little bit. And I think we’ll probably see the same expectation as that we’ll end the year in the mid single-digit growth levels in the commercial side of the balance sheet.
Mark Fitzgibbon: And then with respect to securities, I suspect that this quarter the growth in the securities portfolio was a function and the fact that you had to collateralize many deposits coming in it. Are you likely to see more of that in 4Q and do you expect growth in the securities portfolio?
Joseph MarcAurele: The reasons for the growth the securities portfolio, collateralization is certainly a factor. But just growth in the balance sheet in general was a target there. And we believe that has worked out very well. We may do some more of that in the fourth quarter, and we’ll continue to look at the environment as the quarter continues.
Mark Fitzgibbon: And then for loan loss provision, obviously, a little bit elevated this quarter due to that one credit. Can you help us think about what a good run-rate for that might look like assuming no surprises in 4Q?
Joseph MarcAurele: We would expect, assuming the growth levels that we are targeting in the loan portfolio and the overall reasonably good credit quality conditions that we are experiencing, that a loan loss provision in the million dollar range on a quarterly basis is probably a reasonable number to assume.
Mark Fitzgibbon: And then lastly I wondered if you could share with us what kind of volume the Wellesly mortgage office produced in the third quarter. How much of the volume came out of there?
Joseph MarcAurele: I don’t think we have that in the room this morning. But it was very good considering it had just been opened, and in fact before the office was even opened the people that we hired were busy putting loans into the pipeline. So I think we’re very satisfied with the progress there.
Operator: Thank you. Our next question comes from the line of Damon DelMonte with KBW. Please proceed with your question.
Damon DelMonte: Just to kind of follow-up on the balance sheet growth strategy. How do we look at the margin in relation to the continued growth in the balance sheet? Looks like this quarter the margin came down a little bit more than what you were guiding for last quarter. But I think the growth in securities portfolio help to generate enough net interest income to mitigate any impact from the lower margin. Is that the strategy going forward that we could expect?
Joseph MarcAurele: Yes.
Ned Handy: You’ll probably see a little bit more of that Damon.
Joseph MarcAurele: Yes, I think, you could see a 5-ish basis-point reduction in the margin in the quarter and that would reflect both the full quarter impact of the additions in the third quarter and possibly some additions in the fourth quarter.
Damon DelMonte: So, around another five basis-points from this level. And then could you talk a little bit about your outlook for expenses. If we back out the, for just like a core number this quarter call it maybe $25.5 million or $25.6 million. Is that a reasonable starting point for the upcoming quarters?
Joseph MarcAurele: Yes, we are working very hard to be prudent in spending and focusing it on the items that, where we need to spend dollars. And there is always investments that are required in things like technology and so forth. So, but overtime, we’re trying to be very prudent with spending.
Damon DelMonte: And then just one quick final question, you had mention that on the swap fee income. There is a fair value adjustment that kind of reversed itself from the second quarter. Could you quantify how much that was this quarter?
Joseph MarcAurele: Well, the item that I mentioned, which was the volatility at the end of the second quarter, it probably was turnaround to the $200,000 in the quarter.
Operator: Thank you. Our next question comes from the line of Laurie Hunsicker with Compass Point Research. Please proceed with your questions.
Laurie Hunsicker: Just if we could go back to expenses, I know that you all have in the past done measurable foundation contribution typically in the fourth quarter of $300,000-$400,000. Is that on the table for this year? Or how are you thinking about that?
Joseph MarcAurele: We haven’t made that call yet, Laurie. We just haven’t made that call yet.
Laurie Hunsicker: Okay. And then on to commercial real estate, can you give us a little bit detail behind the $6.3 million loan? What type of credit, LTV, et cetera?
Joseph MarcAurele: That loan has been on the books for a number of years. It is secured by a couple of boxes and mixed-use space properties in Eastern Connecticut. Really, it's the borrower as much as the properties that I think they were both contributing factors to the loss recognition on that credit. We’ve looked very carefully at the CRE portfolio. We don’t see other things like that in the portfolio. So, it's just the unfortunate outcome of a long series of events affecting this borrower.
Laurie Hunsicker: And that has started originally at 8.2, or have there been other charges on this?
Joseph MarcAurele: The relationship was around $9 million, and all charge-offs to-date have brought it down to the $6.3 million, I believe, and which, taken about $1.9 million of charge-offs. And we have another close to $1 million allocated of loss exposure on that credit.
Laurie Hunsicker: Of the specific reserves?
Joseph MarcAurele: Yes.
Laurie Hunsicker: And then can you update us on the CRE loan from the first quarter that had a hiccup. Is there any movement there, or just if you can remind us any details on that?
Joseph MarcAurele: Yes.
Laurie Hunsicker: I can follow-up with your offline if that’s easier.
Joseph MarcAurele: Yes, I want to check my notes to see which one we’re referring to there.
Laurie Hunsicker: Okay, you have taken an outsized charge in the first quarter. You know what I'll follow-up with you guys offline. You gave tax rate guidance for the fourth quarter of 32.5 which is great. Can you help us think about, and I realized obviously some of that is directional depending on how much you make. But can you help us think about what 2017 is going to look like on tax rate?
Joseph MarcAurele: Well, the driver there is that tax exempts or municipal bonds, which have been a larger percentage of total assets, are just not an attractive investments in the current environment. And as a result, the composition of tax exempt income as a percentage of total income has been going down. We would think the hacks rate would drift up towards 34% on an affective all-in basis as a result of that phenomenon.
Laurie Hunsicker: And then on your purchase resi book, you’ve been purchasing, even increasing your purchasing obliviously. Can you tell us a little bit about how you think that portfolio will continue to grow on the purchase side? And then can you just remind us average loan size, you said it was Massachusetts, average LTV. Just some flavor around that? Thanks.
Joseph MarcAurele: Sure, the incentive to buy mortgages has been that the ability to generate portfolio loans has been limited, and a lot of our production goes into sales in the secondary market. The loans that we’ve bought are primarily arms, and we buy to one to seven one flavor. And I would say in size they are probably in a mid six figure range in average balance. We’ve underwritten them individually. They’re in markets that by-enlarge we’re pretty familiar with. And we may continue to do that to supplement balance sheet growth in the future. We had not bought any for a long time. But this was the decision made in the last several months to really supplement asset growth.
Laurie Hunsicker: And then did you have average -- average LTV there?
Joseph MarcAurele: I don’t have that handy.
Operator: [Operator Instructions] Our next question comes from the line of Nicole Gulino with American Capital Partners. Please proceed with your question.
Nicole Gulino: I am not sure if I missed it. How much was pre-payment income during the quarter?
Joseph MarcAurele: Pre-payment income was above $300,000, and the impact of that from quarter-to-quarter has been fairly minimal in the past couple of quarters.
Nicole Gulino: So that core NIM was about 285?
Joseph MarcAurele: That’s sounds about right. Yes.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn the conference back to Joseph MarcAurele for any closing remarks.
Joseph MarcAurele: We again like to thank everyone for your time. We hope and we consider the fourth quarter to be an opportunity for us. So, with that, I will close. And again, thank you for paying attention to our Company.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.